Operator: Ladies and gentlemen, thank you for standing by, and welcome to the AAON, Inc. Second Quarter Sales and Earnings Call. [Operator Instructions]  I would now like to hand the conference over to your first presenter, Mr. Gary Fields. The floor is yours, you may begin.
Gary Fields: Good afternoon. I'd like to begin by reading a forward-looking disclaimer. To the extent any statement presented herein deals with information that is not historical, including the outlook for the remainder of the year, such statement is necessarily forward-looking and made pursuant to the Safe Harbor provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control, that could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filings, including the annual report on Form 10-K and the quarterly report on Form 10-Q. So now I'd like to begin with telling you a little bit about our experience with coronavirus and how it's affected our business. First of all, and of utmost importance, is to thank our employees. We've been able to maintain continuous operations. As a result, we have been able to assist with many COVID-19 projects. We are -- and this is vital to our business as an essential business and essential business supplier. I'm very proud of the effort that our employees have gone to, to maintain safety in the plant. They are all wearing masks, social distancing, they're doing temperature scans on arrival and at any point in time throughout the day that they feel like that it's necessary. When they clock in, in the mornings or in the evenings, whichever -- at the beginning of their shift, they certify through a wellness reporting system in our clock in. So we did have some absenteeism because of coronavirus. In June, we had -- about the second week of June, we had a substantial decline in attendance. It bottomed out in mid-June and was mostly restored in the second week of July. I'm very happy to say that we had very good results with our people returning to work healthy and this was a temporary impact for that period of time I described. And we are mostly recovered on attendance, and these people came back very healthy, ready to work. Now I'd like to turn the call over to Scott Asbjornson, our Chief Financial Officer.
Scott Asbjornson: I'd like to begin by discussing the comparative results of the 3 months ended June 30, 2020, versus June 30, 2019. Net sales were up 5.2% to $125.6 million from $119.4 million. Net sales for the quarter are up due primarily to our increased sheet-metal production from the additional Salvagnini machines that were placed into operation as well as our price increases we implemented in 2019. Our gross profit increased 26.2% to $38.1 million from $30.2 million. As a percentage of sales, gross profit was 30.4% in the quarter just ended compared to 25.3% in 2019. We continue to see overall raw material cost decrease. The company has improved its labor and overhead efficiencies through increased production and absorption of fixed costs. Selling, general and administrative expenses increased 23.4% to $15.9 million from $12.9 million in 2019. Additionally, as a percentage of sales, SG&A increased 12.7% of total sales in the quarter just ended from 10.8% in 2019. SG&A is up due to increases in profit-sharing, employee incentives, driven by increased earnings and largely to a $1.25 million contribution to Winifred, Montana Public Schools on behalf of Norman H. Asbjornson in recognition for his transition from CEO to Executive Chairman. This equates to roughly $0.025 per share. Income from operations increased 28.4% to $22.2 million or 17.7% of sales from $17.3 million or 14.5% of sales in 2019. Our effective tax rate decreased to 20.0% from 22.7%. The company's estimated annual 2020 effective tax rate, excluding discrete events, is expected to be approximately 25.1%. Net income increased to $17.8 million or 14.2% of sales compared to $13.4 million or 11.2% of sales in 2019. Diluted earnings per share increased by 36.0% to $0.34 per share from $0.25 per share. Diluted earnings per share were based on 52,750,000 shares versus 52,747,000 shares in the same period a year ago. Now for the comparative results of 6 months ended June 30, 2020 versus June 30, 2019. Net sales were up 12.8% to $263.1 million from $233.3 million. Net sales for the quarter were up due primarily to our increased sheet-metal production from the additional Salvagnini machines that were placed into operation. Our gross profit increased 45.7% to $81.1 million from $55.6 million. As a percentage of sales, gross profit was 30.8% in the quarter just ended compared to 23.9% in 2019. As already noted, we have experienced decreased material costs and improved overhead absorption. Selling, general and administrative expenses increased 17.2% to $31.2 million from $26.6 million in 2019. Additionally, as a percentage of sales, SG&A increased to 11.8% of total sales in the quarter just ended from 11.4% in 2019. Income from operations increased 73.8% to $50 million or 19.0% of sales from $28.8 million or 12.3% of sales in 2019. Our effective tax rate decreased to 20.8% from 23.1%. The company's estimated annual 2020 effective tax rate, excluding discrete events, is expected to be approximately 25.1%. Net income increased to $39.7 million or 15.1% of sales compared to $22.1 million or 9.5% of sales in 2019. Diluted earnings per share increased by 78.6% to $0.75 per share from $0.42 per share. Diluted earnings per share were based on 52,885,000 shares versus 52,589,000 shares in the same period a year ago. At this time, I would like to turn the call over to Rebecca Thompson, Chief Accounting Officer and Treasurer.
Rebecca Thompson: Thank you, Scott. Looking at the balance sheet, you'll see that we had a working capital balance of $143.2 million versus $131.5 million at December 31, 2019. Unrestricted cash totaled $61.3 million at June 30, 2020. Our current ratio is approximately 2.9:1. Our capital expenditures were $33.5 million. We expect capital expenditures for the year to be approximately $73.2 million. The company had stock repurchases of $15.9 million during the 6 months ended June 30, 2020. Shareholders' equity per diluted share is $6.1 at June 30, 2020, compared to $5.51 at December 31, 2019. I'd now like to turn the call back over to our CEO and President, Gary Fields.
Gary Fields: So net sales have increased. This is due, by and large, as Scott mentioned earlier, to the Salvagnini machines that allowed us to produce the sheet metal required to build our units. So once we produce the sheet metal, then it becomes more impacted by human activity. So absent of the time frame through June and the first week or 2 of July, we had been producing on a daily basis at a record pace, the highest production numbers per day. So once absenteeism is stabilized, which has begun to do quite well, we're nearly restored on that. So we believe that our production has also stabilized. Of course, this coronavirus is such a quick thing that can impact you, I suppose it could occur again. But we've done pretty well with that. So the projects that we have produced in relation to coronavirus, we've talked about last quarter, some of those for New York. There's also been some other facilities that we produced equipment for, that -- for instance, in the state of Maine, there's a company up there that manufactures the swabs that are used for testing. And they've expanded their facility substantially. We've already supplied quite a few units to them for their first expansion. And I think we're closing in on an order for another expansion that they have planned. They were very happy with what we did on the first one. So that's kind of the the jobs that are directly related. No there's been a lot of indirect relationship in that there's been some community hospitals that have come out of mothballs that we've been able to provide some equipment to help renovate and update these. There's been a myriad of facilities that are -- as a result of coronavirus, there was an awareness on the need to get these facilities up and going. The other thing we're seeing good activity on, and we're very well positioned with our equipment for, is increased vigilance on indoor air quality. The coronavirus is well-known to be a aerosol-transmitted virus. And so if you have the ability to do 2 things: one is capture that so that it's not recirculated; and two is, if you have the ability to kill that virus inside the unit. And so we have strategies that have assisted with that, with higher levels of filtration and different methods utilized. There's been 2 or 3 methods utilized to help reduce the life of virus that's circulated. We're fairly unique in that regard in that our basic design of our the aerosol of our equipment has additional static pressure capabilities to overcome the static pressure requirements of these higher filtration levels that ASHRAE has recommended. So this, again, positions us very well. I mentioned before that, that absenteeism had an impact on production. We've restored that now. So we're producing again at daily numbers that are on par with the best daily numbers we've ever achieved. Sales are coming in the door. Bookings, we saw a decline throughout the spring and the early summer versus our expectations and versus 2019. However, July turned around substantially. We finished July's bookings substantially above 2019 and more in alignment with our expectations prior to coronavirus. We've also looked at activities that are in the pipeline with our sales channel partners and believe that we're poised for fairly solid results going through the next period of time here, at least for another quarter or 2 as far as bookings. I think with the political environment, election and so forth, that there could be some debate on how well that's going to occur in Q4, Q1. And I think that a lot of states that opened up early on and got some activities going have seen a little pause in opening and some have even contracted a bit. So these are things that are very unpredictable. So it's very hard to give a solid direction where things are going, but our backlog remains very stable, very strong. And it's nearing our ideal point so that our lead times are nearing their ideal point as well. Water-source heat pumps, there's not been a whole lot of change in that business. We saw a little weaker demand for it so far this year than what we did in 2019. But we've began with some strategies to strengthen that in -- primarily in the aftermarket replacement business, looking at what makes a more effective presentation of product for that. And we're in the midst of designing some additional product that's more ideal for that backwardly compatible replacement market, such that if somebody has a failure that they don't want to repair the unit, you've got an instant change out for them. So that's some of our redesign that we've done. In that regard, our legacy products, as I would like to term them, the products that we build in Longview, Texas, the products that we build here in Tulsa prior to this water-source heat pump, are under constant development for improvement. We've got a multitude of strategies and improvements that are rolling out on a weekly to monthly basis. And we believe that each 1 of these is going to have a positive impact on our growth potential and our market share growth. So at this point in time, we've seen everything relatively in line with past relationships as far as size of units and so forth. But I would like to point out that there's a couple of opportunities that we've been able to capture. And I think there's more on the horizon. And that is that there's some conditioned warehouses. These are warehouses that require air conditioning. They tend to be very large buildings and they utilize larger units. So you don't have a large quantity of units, you have larger tonnage. And this falls very well into our offerings. Some of our competitors are very limited on the size range they have. And so this has been able to provide us a really good opportunity. Some of those orders are already in-house. We have some more in the pipeline that are very, very significant. But manufacturing is the same time. We've seen some acceleration in manufacturing project opportunities, some of which we've capitalized on. I mentioned once before that we were awarded the contract to supply the air conditioning equipment for the new Black & Decker of Craftsman tools manufacturing in North Texas. We have other manufacturing facilities, some of which are -- we don't want to talk about individual projects so much when they're in the pipeline, but there are some opportunities out there that are boding very well for us. Office buildings are challenged. I think that we're going to see particularly -- spec office buildings, speculative of office buildings declining, coming up. Architectural Billing Index seems to support that new construction is going to be declining slightly. We've had 4 months in a row that Architectural Billing Index has been below the benchmark of 50. So that puts more emphasis on us capitalizing on some of the markets that we're very strong in. And one of the things that I've noticed looking at the sales channel partners' pipeline and talking to them, is that there are more and more opportunities that are owner-operated-type facilities, which bodes very well for us.as opposed to speculative facilities or developer type facilities where they own them for a short period of time. So I guess the next part of our market segments that we've talked about in the past is lodging. We have multiple national accounts that we work with on that. And new starts on lodging, I think, are going to be very challenged. We've seen a couple of projects delayed. Haven't seen anything canceled, but I think that new starts are going to be challenging. But that gives us an opportunity to go through and help these people with their efforts to modernize, update and refresh some existing facilities. And we fit that very well. So with that, I'll conclude the market talk. Our backlog was $119.6 million at June 30. And and that was versus $166 million a year ago. Now to some that may look unfavorable. To me, it actually looks favorable because at $166 million our lead time was extraordinary and lengthy, and this was restricting us from some really good opportunities. We had to turn down a lot of opportunities because we just weren't able to produce. We worked very hard. And for about a year now -- maybe in a little excess of a year, we've been adding Salvagnini capacity, additional capacity and streamlining our operations. And so now we're able to produce at a higher level. And that in itself brought the backlog down. And so at this point in time, our balance between backlog, bookings and shipments is relatively in order. There were a handful of jobs that were delayed somewhat. It actually coincided well with the fact that we had some K-12 replacement business that we had units due in June and July primarily. And at the same time, we were having the absenteeism rate. So we were a little bit challenged by that. As it turns out, those projects were all delayed because they had absentee rates for their construction workers that had delayed their progress as well as school opening delays. So we were actually able to satisfy all of those shipment requirements with no delay to the actual outcome. We're seeing orders as I said, in July, rebounding very nicely. And I think this is in response somewhat to our lead times. A lot of opportunities are being presented to us and 1 of the primary concerns has been, when can you deliver it? And we've been able to respond favorably to these. So that being the case, I think 2020, we will finish the year with modest growth. And I believe we'll begin 2021 with a relatively stable backlog unless something catastrophic occurs in the overall economy that we've not yet seen. July results were good, in spite of the fact that we had some absenteeism for the first few days of July. As of -- I think it was July 12, it was the first day that I saw us produce on a daily basis at our highest level. And we've been able to maintain that production level. So in the first 10 or 11 days, of course, you had 2 days of holiday in there, but the first 10 or 11 days of the month we're underperforming because of absenteeism. But once we hit around the 12th of July, we restored that. The balance of the year, barring any unexpected absenteeism again or anything catastrophic like that, we think that we're going to perform quite well for the rest of the year. One of the absenteeism issues that has been discussed and there's been a lot of effort in the community, in our business itself, to assist with, how to resolve is there's schools that have not gone into session on time, not planning 1 session in time. And so you've got people that are having some childcare issues with what'll they do do with their kids, while they're at work. I think they've become relatively well equipped on this now, it seems. Because they've been dealing with this since late in the spring. And so I don't think we're going to have too much substantial impact from that. Just a little bit of a nagging situation for a handful of people. With that, I'd like to open it up to questions.
Operator: [Operator Instructions] Your first question comes from the line of Brent Thielman.
Brent Thielman: Gary, maybe first off, I mean that despite some of the disruption seemingly late in the quarter, the gross margins are holding up pretty well. I guess your -- thanks for the -- at least some view on what you think sales can do through the remainder of the year. And I know that's subject to a lot of things. But how do you feel about sort of maintaining these margins at these sort of levels and -- given all the variant factors out there and barring any change in the inflationary environment?
Gary Fields: Well, we had June -- we look at each month stand-alone as they occur. And June was surprisingly good. This absenteeism at that PTO time for those people is accrued. And so it doesn't affect us in a negative way. The thing that you don't get is you don't get the dilution of the fixed cost when you don't have the revenue. So I think that I'm very proud of what our team did in managing cost and managing the people for the best outcome. June, as a stand-alone month, was relatively representative on a gross margin basis for the whole quarter, as I recall. Yes. I'm getting a nod of approval from my accounting and -- folks here. So June was relatively on par with that. We've not -- since we just closed out July, we've not seen those numbers. But revenue in July looked fairly similar to June. Yes. So having the same sort of controls in place on the efficiency and just the scrutiny to every little detail in the business, I would expect that July performed somewhat on par with June, maybe slightly less, but somewhat on par. August is starting off with really, really good production and good attendance. And so I think that August -- and we've got good backlog to run through September at this rate and good prospects on the horizon. So I think that the stability in gross margin performance is very probable.
Brent Thielman: Okay. And Gary, just to clarify, I mean, I think typically, third quarter is 1 of your stronger quarters. Do you expect a step-up in revenue from the second quarter?
Gary Fields: I don't. And it's because those first roughly 10 days of July -- 10, 11 days that we were below production numbers, because of attendance, if that had not occurred, then, yes, I would say so. If we were in the range -- and I've not seen the forecast yet, we're just -- Normally, about mid-quarter, my production team would give me a pretty good forecast of what revenue is going to look like Because they've got their production schedule fairly solidified, and they've got their rhythm for it. So we're about a week early for being able to determine that. But I would expect Q3 probably to be in the same range as Q2. It won't be the normal bump up that you've seen historically. And again, that was largely affected by the absenteeism on these first 10 or 11 days of July. Do you agree -- both of you agree with that?
Scott Asbjornson: I would tend to say so. I think effectively, the impact we had from coronavirus was split half between the end of June and the beginning of July.
Gary Fields: Yes.
Scott Asbjornson: And so you're going to probably see somewhat of a mirror image.
Gary Fields: Yes. That's the way I saw it as well. Thank you, Scott.
Brent Thielman: Okay. And just to clarify, given the lead times have shortened, I've seen -- all the all the work in your backlog reflects most current pricing and that's out there, you don't have much going through from prior price increases. Yes, yes.
Gary Fields: I had no price increase. No, no. We had, as I recall, it was relatively across the board price increase in June of '19. That's fully enabled in the production, I would say, even Q2 was fully enabled. There was a small price increase, selected price increase in December. Again, I think some part of Q2 captured that. And I would say that Q3 is entirely on that. But that was very inconsequential to the overall gain. Because it was on select equipment, even though it was 4% or 5%, it was on probably -- let's see, it was on Longview equipment in line 5?
Rebecca Thompson: Correct.
Gary Fields: Yes. So it was affected on somewhere around 20% of our revenue. That we -- we got about half of Q2 with that price level on the plant floor.
Brent Thielman: Got it. Last one, then I'll get back in queue. The indoor air quality upgrades, is that considered a part sale or is that a full-on replacement of a unit?
Gary Fields: Full on replacement of the unit for most of these facilities. When you go get -- let's see you go to an elementary school that was built even 15 years ago. And let's say they did not purchase AAON equipment. So the equipment that they purchased, the fan that supplies the air to the space and recirculates it, doesn't have the capability of overcoming these additional filtration levels that we're talking about. The other thing is, is those units that a lot of our competitors sold on those projects don't have the space in them for these virus-killing devices. And so our units accommodate both and that strategy in our units has been available for many years. So we didn't have to do any new design, redesign or anything like that. We have a project that we are supplying to the Carrollton-Farmers Branch, Texas School District. I think there's nearly 600 units. And they are adding the virus-killing device and then we added the higher filtration. And so that's just 1 example of a school district that recognize this. And that was all planned before coronavirus. And they came in and added this virus-killing device once they saw the effect of it with coronavirus.
Operator: Our next question comes from the line of Joe Mondillo.
Joseph Mondillo: I wanted to start with following up on Brent's last question. And just to expand on that, what kind of units are you referring to? Or is it water-source heat pumps or rooftops? And then in addition to that, is there other types of units that maybe you don't manufacture, other types of systems that could be a substitute at all? And then lastly, as far as the uniqueness that you mentioned regarding the static pressure, could you expand on that? And how many producers out there can provide what you're referring to there?
Gary Fields: Okay. So let's divide this up a little bit. So in indoor units, virtually every competitor we have, has this capability because indoor units don't tend to be so commoditized, they're not an in-stock-on-the-shelf kind of a unit. They're built to order. So virtually everyone who's building indoor air handling units has the capability of providing a fan system that is capable of overcoming this. Indoor air handling units typically go with chiller water systems. For the products that we produce in Longview, Texas, we have a high percentage of buyers that are, what's called a, split system. They also include a condensing unit, and they have refrigerant run through their coils rather than chilled water. So when you're talking about those indoor split systems, you start narrowing this down a little bit. Because a lot of our competitors don't have a real effective offering of this style of split system with these kind of capabilities. So for many years, our successes of the split systems we produce in Longview were due to the attributes they had with some application strategies. In other words, a lot of projects with chilled water, which are typically your larger central projects -- central plant projects, we were able to duplicate that kind of performance with a split system and scale that down. So some projects need an indoor air unit because they don't have roof structure or roof square footage available for a rooftop unit. So that buys well for Longview. Now when we're talking about packaged rooftop units, when we're talking about units that are 25 tons and smaller, then virtually all of our competitors, with a small exception, and that would be Daiken, their fan systems will not accommodate this additional static pressure for these higher filtration requirements. So we have essentially 1 competitor that can match us on fan performance on these 25 ton and smaller units, and that would be Daikin. And when we look at it from a competitive standpoint, that's quite nice to compete against them. When we go above 25 tons, then it starts sprinkling in a few manufacturers here and there, between 25 and 50 tons, we'll say, that can do these sorts of things. Now once we get above 50 tons, then it becomes even more of those manufacturers are capable of doing that. So our most substantial opportunity is in the 2- through 25-ton sized equipment that our strategy and our value proposition are extraordinary. Water-source heat pumps. We do have a fan capability to step up the filtration capabilities in those. That was 1 of our innate designs. Because we recognizes this ability, even before coronavirus, that there were many applications that would desire a higher level of filtration. So as far as water-source heat pump manufacturers going head-to-head, we do have unique capabilities once again in that facet.
Joseph Mondillo: Okay. And have you -- I don't know which one would be maybe the most ideal fitted for sort of COVID air quality. If there is one, have you seen any -- I guess, just broadly, have you seen any indication that you've started to see increased demand? Or is it still too early?
Gary Fields: To the increased filtration or the virus-killing-devices going in the units?
Joseph Mondillo: I guess, just anything related to putting in COVID-related systems because of air quality and filtration
Gary Fields: I think we're on the early part of that, Joe. And let me tell you, ASHRAE is our industry resource for research and development. And it's done on a -- all of our peers participate on these committees and on these research opportunities. And so this is a collaboration between the entire industry. And ASHRAE published a paper recently describing what they thought were best practices for how to handle this airborne virus, this aerosol virus. And that was increased filtration levels. It's called a MERV level, M-E-RV, increased MERV level filtration as well as coupling that with 1 of the 3 strategies for virus killing. So UV lights are an obvious choice for killing a virus. But the problem is, is that to have the intensity required to kill the virus at any speed as it goes through the unit and its normal speed, the intensity has to be much higher than what we were accustomed to having in the past. Most of the UV devices that the industry has been installing in their units was to kill any surface-borne viruses and bacterias that might accumulate on the cooling coil. So this strategy of increasing the intensity of UV is rather new, and it's something that ASHRAE put in 1 of the recommendations. There's also some ionization-type virus killing devices that are getting some attention as well as a plasma device that will kill this virus. So there's really 3 technologies out there that are working their way through to see which 1 is the most viable, which 1 is the best value. But if you couple all of these with this higher level of filtration because when they kill that virus, you want to capture those particles in a throwaway filter.
Joseph Mondillo: I see. Very interesting. How about as far as your COVID-related end market trouble spots being retail, office, hotels, they make up 40% to 50% of your revenue. Construction is overall 50% or so of your revenue. How do you view maybe the positive aspects of COVID-related demand to some of the adverse effects to the pandemic in terms of those end markets?
Gary Fields: Well, I think what you've described is relatively accurate that some of these markets are declining. As far as new construction, they're definitely in jeopardy of declining because Architectural Billing Index has been a great indicator, and it's 4 months in a row that it's been below the benchmark of 50. That says things are going in a positive direction. So there will be more emphasis on replacement business. It's something that -- when I came here nearly 4 years ago now, that I recognized was a significant market opportunity for us. And we've been putting strategies in place to increase that. And I think we're making good traction with that. Our sales channel. As a whole, as we improved it, some of the characteristics of the improved partners that we selected were due to that aspect of their business that they had a focus on this aftermarket replacement solutions-type business. So I think that a lot of the improvements we made in the sales channel are going to have a beneficial impact to us shifting from 50-50, 50% new construction, 50% replacement. I would look for over the next 18 months for our ratio to change somewhat and our new construction to be a smaller percentage and our replacement business to be a larger percentage. When it comes to water-source heat pumps, particularly, that is an absolute strategy that must be utilized because the new construction, some of the biggest markets for water-source heat pumps were hotels and high-rise condominiums, both of which I think are going to be substantially curtailed. But on the other hand, if they're not building new hotels and not building new condominiums, they've got units that have got age on, that are failing, that have got to be replaced. So we have had a full-time effort on increasing that business for about 18 months in the water-source heat pumps. And we've seen some configurations and equipment strategies that would make it even more -- make our product offering even more attractive. And we're deep into the design of these additional characteristics and features that are going to enhance that. We're looking for somewhere in Q1 to have a complete generation of equipment -- water-source heat pump equipment introduced that will be specifically to address this replacement market be backwardly compatible. Then the other thing to offset some of these industries and segments that are going downwardly trending, there's some upwardly trending opportunities as well. Some of which I've talked about before in more vague terms that I can talk more specific now. Large-scale conditioned warehouses. There are companies that have online ordering -- online processing of ordering and home delivery that are building additional facilities across North America. We've been successful in securing -- 1 particular business of that was building 6 new facilities across North America. And at this point in time, we've secured the order for 4 of those facilities. Each 1 of them is not -- as an individual that's not material to our business, but they're all incremental, and they're all beneficial. Then the other thing is, we've seen some on shoring or reestablishing of manufacturing here in North America. We have secured some of that work already, and we have some in our pipeline being developed. One of those projects is extraordinary. It's in the early stages of it, but it's 1 that we expect to be awarded within this month. And so hopefully, when we're having this call next quarter, we'll be able to tell more about that. But at this point in time, it's a little early. But there's a lot of opportunities out there to offset the downside. Now overall, the growth is going to be challenging. But I think that when you looked at some of our peers and the reporting that they've had, up to this point, they're reporting 20% to 25% down for the quarter. They're reporting 20% to 25% down for their outlook for the year. So being -- our quarter was up by how many percent, Scott?
Scott Asbjornson: 5% for the quarter.
Gary Fields: 5% for the quarter and that was somewhat constrained by the absenteeism. We would have been up a decent amount more than that if we would have not had to add absenteeism. So we're going in the opposite direction of a lot of our competitors and peers. We are gaining market share. Our value proposition is more appreciated now than ever. And I've always said, and this is something that Norm has validated for me is in these times of downturn, that's when we actually flourish. Because people have time to consider the value proposition, and we win that very often.
Joseph Mondillo: Okay. I just wanted to also just follow-up on sort of the backlog and the effect to what that has. And you gave sort of an indication of what you're thinking for the third quarter. I'm just trying to think sort of further out than the third quarter. Did this sort of mishap or maybe not mishap that, but the issues with your absentees. Did that affect -- where your backlog is today, which is relatively pretty high, if you look back 2 years ago. It's about 20%, 25% higher than where it was 2 years ago, even though it's down year-over-year from here. To that extent, how much did this sort of effect going into the fourth quarter? Do you think, say, you get sort of maybe flat to modest growth in orders in the third quarter? Do you see a recovery starting in the fourth quarter in that sort of scenario?
Gary Fields: I think that's reasonable to assess it that way. When we look at the commentary we're having with our sales channel partners, the general tenor is that things are improving as things began to open back up. Things are beginning to move. A good many of them believe that there's adequate opportunities out there to kind of maintain our position. But then we keep getting presented with these unique opportunities. This large manufacturing opportunity that's being presented to us right now is very lead time sensitive. And because of our increased capacity, we are absolutely able to meet their scheduled requirements. And when the discussion with some of the other contenders for the project, they're all challenged by that. They're not willing to commit to this very aggressive schedule. So when I go back to the planning we did a couple of years ago, realizing that we didn't have as much production capacity as we need it, and we started getting things rearranged, clean up in the plant, reutilizing some space, better utilizing it, getting more Salvagnini machines in here. We have -- when we built our new laboratory, for instance, we had an existing laboratory here in Tulsa. We have two manufacturing buildings here. The West building is our biggest footprint building, the East building was our original manufacturing building, and we build our smaller tonnage units there. And -- but we also had our original laboratory in there. But once we got the new laboratory up and going, we demoed that space. And working with our manufacturing engineering group here in the office, we devised a whole new manufacturing line for 1 of our most popular products. One of our products that caused us to go out to an exorbitant lead time last year, 35, 40 weeks lead time. Well, we've been able to arrest that to around 16 weeks right now. But when we get this new manufacturing line up and going, we will be able to produce these large tonnage units, the ones that are more standard configuration at 150% greater rate than we do right now. And when we look at that, that means we'll be able to offer those units in a 6 to 8-week time frame on a regular basis. So that opportunity with that new manufacturing line, which will come on board, they're telling me sometime in December. So I'm kind of counting on it to start Q1 and have that capacity available. Well, there's opportunities out there for those style units. These are the larger units they run. I think they run 55 tons to 140 tons. Is that right, or 55 on the small -- yes, 55 to 140. So these fit, these larger conditioned warehouses and some data center-type battery cooling areas and things like that, they fit it very well. And so we're increasing our manufacturing capacity right there. And with that reduced lead time on that, so many of these projects are very, very sensitive to lead time. When these people start planning these data centers, when they pull the trigger, they want to be done yesterday. And so we're going to be able to respond to that even better than we are today.
Scott Asbjornson: One thing just to make sure that we're all understanding is our backlog is expected to potentially still decline in the sense that it's supposed to represent roughly about 2 months' worth of our production. And that historically has been -- we have found to be kind of an ideal range overall for us. And that may be where we end up by the end of the year.
Gary Fields: Yes. So if we can end up the year with the -- across the board lead time being that 8 weeks with some opportunity for some 5 and 6 week lead time on certain product groups, then that's going to put us in a very, very strong position going into 2021.
Operator: [Operator Instructions] We have a follow-up question from the line of Joe Mondillo.
Joseph Mondillo: If you don't mind, I just have a couple of follow-ups.
Gary Fields: Sure, sure. Go ahead, Joe.
Joseph Mondillo: So just as far as capacity right now, what size backlog -- just so we sort of have an idea, what size backlog could you increase to where your lead times don't get extended or it doesn't cap your revenue. I'm just wondering how much revenue can this business sort of handle at this point?
Gary Fields: Well, it's a moving target because we continue to add manufacturing capacity. The new building in Longview, for instance, we went from 234,000 square foot original facility down there, we're building 220,000 square feet. They're going to turn that building over to me in late November. We'll have that capacity coming online Q1. And so we'll have more capacity for Longview. Right now, if I segment Longview's backlog out there, they're at about 12 weeks right now, I think?
Scott Asbjornson: 12 weeks, they are.
Gary Fields: Yes. And that's a more backlog -- a more lead time-sensitive product group than what we produce here in Tulsa. Ideal down these 5 to 6 weeks. Well, rather than curtail the orders, I want to increase the manufacturing capacity. So that will come on January 1. And so the ideal backlog today for Longview would be substantially less than what it is. The ideal backlog for Longview starting January 1, is going to be about where it is right now, okay? So that's that moving target. Now Longview has traditionally been, what, 10%, 12% of our revenues, is that about right?
Scott Asbjornson: Roughly.
Gary Fields: Yes, roughly, 10% to 12%. So if the Tulsa products were to become stagnant, which they won't, but if they were, then Longview's -- we're expecting good growth opportunity out of Longview in 2021. We've got multiple programs that we're working on with software development to expedite the processing and billing materials generation so we can shorten lead times to utilize that manufacturing capacity. Then here in Tulsa, we still don't have all of our Salvagnini machines installed that we ordered for accretive capacity. We've got 1 machine right now that looks to be probably 2 weeks away from coming online. So that will be some incremental capacity growth. So to answer your question, today -- with the capacity I have today, the ideal backlog looks somewhere between $90 million and $100 million. But I have increasing capacity coming on incrementally over the next few months. So that's going to be a moving target.
Scott Asbjornson: One of the things we're also working on is trying to make sure that we have capacity to deal with short lead time requests in a growing effort as we move forward.
Gary Fields: Yes, we've got to have headroom between demand and production capacity. If we don't have that headroom, then you begin to discourage these people because they call and say, "Hey, I need this unit in this lead time." And if you have to say no, they look for either an alternative solution or they just give up altogether. And so having additional manufacturing capacity to have that headroom for that peaking. So over the last 2 or 3 years, you've not seen the bell curve that had existed through most of the life of the company. I believe in 2021, that we're more likely to see that bell curve begin to reestablish itself. And by 2022, I think it will be firmly in place. That being that Q2, Q3 have higher revenue numbers than Q1, Q4.
Joseph Mondillo: Got it. How about raw materials? About 12 to 18 months ago, your -- the spread between input prices and output prices sort of squeezed your margins. And I believe that sort of started to reverse in the other direction. But now we're seeing copper is pretty high historically and some other raw materials have been rising. So where are we on price-cost situation.
Gary Fields: I have a sheet that they give me from our purchasing group that has about 70% of all of our purchase materials. Rather, those are fixed -- I mean, no, finished goods, like compressors and motors or rather they're raw materials like copper or aluminum, steel and stainless steel. Overall, that's quite stable right now. We've had some things go down, some things go up. As a trend, it was down just a little bit year-to-date. And we were able to lock in some pricing protection on certain aspects of that for -- do you remember how long we were able to lock in that steel?
Rebecca Thompson: A little bit of 12 to 18 months, I guess.
Gary Fields: Yes. So in the 12 to 18-month range on some of these materials, we've been able to lock in a buy price. So if those things begin to go up, and I've got this locked in price, then I kind of like my chances with that. I think we've done quite well. So just to summarize that, Joe, I think right now, what I'm seeing and what I've been given for the next 6 month outlook on material pricing is it's no impact, positive or negative. It's neutral.
Joseph Mondillo: Okay, good. And then as far as the SG&A, I think I may have missed it, but was that inflated? I thought I heard -- maybe Scott said there was a donation in the SG&A.
Gary Fields: Yes. You did miss that, Joe. You did miss that. So on May 12, when the Board of Directors so graciously appointed me the CEO, that is the same-day that Norm was appointed Executive Chairman. And so that's a next step for both of us. And in honor of that, the Board voted for and granted a onetime contribution to the Winifred, Montana independent school district, which is where Norm was born and raised. And I'm proud to say that Norm, Scott, myself and Doug Wichman went there and presented that check in person to them for $1.25 million. So that was an SG&A expense in Q2. And if you look at that... What's it, Scott?
Scott Asbjornson: It was roughly $0.025 a share on a pretax basis and a little bit under $0.02 a share on an after-tax basis.
Gary Fields: Yes. So even with our absenteeism, if you'll make an allowance for that contribution, we were pretty darn close to earnings expectations. And our SG&A would have been pretty much in line with what you had previously thought.
Joseph Mondillo: Yes. Yes, correct. Even with taking that out though, it's -- the SG&A is still up 14%. But I guess, property... Yes.
Gary Fields: Profit sharing, don't forget my employees. We allocate 10% of our pretax earnings to profit sharing. We issued a check, the check goes out Monday, give me that exact amount, $1,256?
Scott Asbjornson: I don't know the exact number off the top of my head. But I'll get for you, Gary and Joe.
Gary Fields: Get it real quick. So it was $1,686, the first quarter, and I believe the number was $1,256. This is per employee. All employees with the exception of...
Scott Asbjornson: $1,276.19 per eligible employees.
Gary Fields: I was short just by $20.
Scott Asbjornson: Roughly equivalent to about $2.45 per regular hour worked.
Gary Fields: Yes. So that profit sharing is an SG&A expense, and it's our biggest variable. The 2 biggest variables in our SG&A expenses typically are warranty and profit sharing. And so warranty is down and profit sharing is up. And that's the way we want it to be.
Scott Asbjornson: Same period last year, that amount was $1,091.
Gary Fields: Okay, so that's a 25% increase.
Scott Asbjornson: Almost.
Gary Fields: Almost?
Scott Asbjornson: Yes.
Gary Fields: 27% increase over last year. So at this point in time this year, on a dollars per hour basis, give me that calculation.
Scott Asbjornson: It was $2.45 per regular hour worked.
Gary Fields: That was for the quarter?
Scott Asbjornson: For the quarter.
Gary Fields: Year-to-date were $2.80
Scott Asbjornson: $2.80. I don't remember the exact amount.
Gary Fields: Yes. Yes. So for year-to-date, our employees have gotten $2.8 an hour year-to-date in profit sharing bonus.
Scott Asbjornson: It's the only part of SG&A we like to see going up.
Gary Fields: All right. With no further questions, I want to thank all of you for participating and listening today. We'll talk to you in November for our third quarter results. Have a nice day.
Operator: That concludes today's call. Thank you for your participation and you may now disconnect. Have a great evening, and stay safe everyone.